Operator: Hello, and welcome to the Robert Half First Quarter 2024 Conference Call. Today's conference call is being recorded. [Operator Instructions] Our host for today's call are Mr. Keith Waddell, President and Chief Executive Officer of Robert Half; and Mr. Michael Buckley, Chief Financial Officer. Mr. Waddell, you may begin. 
M. Waddell: Hello, everyone. We appreciate your time today. Before we get started, I'd like to remind you that the comments made on today's call contain forward-looking statements, including predictions and estimates about our future performance. These statements represent our current judgment of what the future holds. However, they are subject to the risks and uncertainties that could cause actual results to differ materially from the forward-looking statements.
 These risks and uncertainties are described in today's press release and in our most recent 10-K and 10-Q filed with the SEC. We assume no obligation to update the statements made on today's call. 
 During this presentation, we may mention some non-GAAP financial measures and reference these figures as adjusted. Reconciliations and further explanations of these measures are included in a supplemental schedule to our earnings press release. For your convenience, our prepared remarks for today's call are available in the Investor Center of our website, roberthalf.com.  
 Client and candidate caution continues to impact hiring activity and new project starts on a global basis. However, the trend towards stabilization that began in the second half of last year continued into the first quarter of this year. First quarter results were largely in line with expectations, and we're encouraged that second quarter earnings guidance, led by Protiviti anticipates higher sequential earnings for the first time in 7 quarters. 
 We remain confident in our ability to navigate the current climate and optimistic about our growth prospects, built on our industry-leading brand, people, technology and unique business model that includes both professional staffing and business consulting services.
 For the first quarter of 2024, company-wide revenues were $1.476 billion, down 14% from last year's first quarter on a reported basis and down 13% on an as-adjusted basis. Net income per share in the first quarter was $0.61 compared to $1.14 in the first quarter a year ago.
 In March, we distributed a $0.53 per share cash dividend to our shareholders of record for a total cash outlay of $58 million. Our per share dividend has grown 11.6% annually since its inception in 2004. The March 2024 dividend was 10.4% higher than the prior year. We also acquired approximately 750,000 Robert Half shares during the quarter for $60 million. We have 10 million shares available for repurchase under our Board-approved stock repurchase plan. Return on invested capital for the company was 16% in the first quarter.
 Now I'll turn the call over to our CFO, Mike Buckley. 
Michael Buckley: Thank you, Keith. Hello, everyone. As Keith noted, global revenues were $1.476 billion in the first quarter. On an as-adjusted basis, first quarter Talent Solutions revenues were down 17% year-over-year. U.S. Talent Solutions revenues were $764 million, down 19% from the prior year's first quarter. Non-U.S. Talent Solutions revenues were $248 million, down 10% year-over-year. We have 315 talent solutions locations worldwide, including 91 locations in 17 countries outside of the United States.
 In the first quarter, there were 62.8 billing days compared to 63.3 billing days in the same quarter 1 year ago. The second quarter of 2024 has 63.5 billing days compared to 63.3 billing days during the second quarter of 2023.
 The Currency exchange rate fluctuations during the first quarter had the effect of increasing reported year-over-year total revenues by $2 million, $2 million for Talent Solutions and a negligible amount for Protiviti. Contract Talent Solutions bill rates for the first quarter increased 3.1% compared to 1 year ago, adjusted for changes in the mix of revenues by functional specialization, country and currency. This rate for the fourth quarter was 3.7%.
 Now let's take a closer look at the results for Protiviti. Global revenues in the first quarter were $464 million, $378 million of that is from the United States and $86 million is from outside of the United States. On an as-adjusted basis, global first quarter Protiviti revenues were down 5% versus the year ago period. U.S. Protiviti revenues were down 4% while non-U.S. Protiviti revenues were down 10%. Protiviti and its independently owned member firms serve clients through a network of 89 locations in 29 countries.
 Turning now to gross margin. In Contract Talent Solutions, first quarter gross margin was 39.5% of applicable revenues versus 39.8% in the first quarter 1 year ago. Conversion revenues or contract to hire or 3.2% of revenues in the quarter compared to 3.7% of revenues in the quarter 1 year ago.
 Our permanent placement revenues in the first quarter were 12.3% of consolidated Talent Solutions revenues versus 12.8% in the same quarter 1 year ago. When combined with Contract Talent Solutions gross margin, overall gross margin for Talent Solutions was 47% compared to 47.5% of applicable revenues in the first quarter last year. For Protiviti, gross margin was 18.9% of Protiviti revenues compared to 22.2% of Protiviti revenues 1 year ago. 
 Adjusted for the amount of deferred compensation that is completely offset by investment income related to employee deferred compensation trusts for the deferred compensation investment income offset, gross margin for Protiviti was 20.7% for the quarter just ended compared to 23.2% last year.
 Moving on to SG&A. Enterprise SG&A costs were 35.3% of global revenues in the first quarter compared to 32.2% in the same quarter 1 year ago. Adjusted for the deferred compensation investment income offset, enterprise SG&A costs were 33% for the quarter just ended compared to 30.9% last year. Talent Solutions, SG&A costs were 44.3% of Talent Solutions revenues in the first quarter versus 39% in the first quarter of 2023.
 Adjusted for the deferred compensation investment income offset, Talent Solutions SG&A costs were 40.8% for the quarter just ended compared to 37.1% last year. First quarter SG&A costs for Protiviti were 15.8% of Protiviti revenues compared to 15.3% of revenues for the same quarter last year.
 Operating income for the quarter was $41 million. Adjusted for the deferred compensation investment income offset, combined segment income was $85 million in the first quarter. Combined segment margin was 5.7%. First quarter segment income from our Talent Solutions divisions was $62 million with a segment margin of 6.1%. Segment income for Protiviti in the first quarter was $23 million with a segment margin of 4.9%. Our first quarter 2024 income statement includes $43 million as income from investments held in employee deferred compensation trusts. This is completely offset by an equal amount of additional employee compensation, which is reflected in SG&A expenses and direct costs. As such, it has no effect on the reported -- on our reported net income. Our first quarter tax rate was 30% compared to 28% 1 year ago.
 At the end of the first quarter, accounts receivable were $861 million and implied days sales outstanding or DSO, was 52.5 days.
 Before we move to second quarter guidance, let's review some of the monthly revenue trends we saw in the first quarter and so far in April, all adjusted for currency and billing days. Contract Talent Solutions exited the first quarter with March revenues down 16% versus the prior year compared to a 16% decrease for the full quarter. Revenue for the first 2 weeks of April were down 16% compared to the same period last year. Permanent placement revenues in March were down 17% versus March 2023. This compares to a 20% decrease for the full quarter.
 For the first 3 weeks of April, permanent placement revenues were down 18% compared to the same period in 2023. We provide this information so you have insight into some of the trends we saw during the first quarter and into April. But as you know, these are very brief time periods. We caution against reading too much into that.
 With that in mind, we offer the following second quarter guidance: revenues $1.45 billion to $1.55 billion. Income per share $0.63 to $0.77. Midpoint revenue of $1.5 billion or 9% lower than the same period in 2023 on an as-adjusted basis. The major financial assumptions underlying the midpoint of these estimates are as follows: Revenue growth on a year-over-year basis as adjusted. Talent Solutions down 10% to 14%. For Protiviti, down 3% to flat, overall down 7% to 11%. Gross margin for contract talent, 38% to 41%. For Protiviti on an as adjusted for the deferred compensation investment income offset, 22% to 24%, overall 38% to 40%. SG&A as a percentage of revenues adjusted for the deferred compensation investment income offset. Talent Solutions, 40% to 42%. Protiviti 15% to 17% and overall 32% to 34%.
 Segment income for Talent Solutions, 5% to 7%. Protiviti  6% to 8%. Overall 5% to 8%. Our tax rate 29% to 30% and shares outstanding 103 million to 104 million.
 2024 capital expenditures and capitalized cloud computing costs, $90 million to $110 million, with $20 million to $25 million in the second quarter. As always, we limit our formal guidance to one quarter forward.
 Just for informational purposes, we would note that the 10-year average performance for the third quarter excluding 2020's COVID impact is for sequential revenue gains of 1.1% and sequential EPS gains of 4.3%. All estimates we provide on this call are subject to the risks mentioned in today's press release and in our SEC filings.
 Now I'll turn the call back over to Keith. 
M. Waddell: Thank you, Mike. Consistent with prior quarters, clients are budget sensitive and very selective in their hiring activities, including the approval of new projects. Also, many are maintaining their internal head counts based on the anticipated difficulty in finding suitable replacements. Candidates are also more reluctant to change jobs reflecting diminished confidence in the market. The net impact is less churn in the labor force and employee attrition is down significantly across the globe.
 On a weekly basis, we exited the quarter with revenues very similar to those at the end of the prior quarter. another sign of the stabilization we have seen since in the middle of last year. We have many reasons to be optimistic about the future. We have significant opportunities as macroeconomic conditions improve, starting with the reacceleration in the velocity of hiring and the more normalized labor churn that typically follows when client and candidate confidence improved.
 Job openings data, which is significantly higher now than in prior industry downturns, indicates substantial amounts of pent-up demand for future hiring. We're also encouraged by the growth and margin prospects from our continued focus on services related to higher skilled talent, both in Talent Solutions and Protiviti.
 Our investments in higher skilled services carry many advantages, higher bill rates and gross margins, longer assignments, increased client openness to remote talent, more full-time engagement professionals and less economic sensitivity.
 Our mix of revenues from higher skilled positions has been steadily rising over the past several years and currently exceeds 50%. We expect this positive trend to continue. We continue to invest in technology and innovation to fuel our core business strategy, which places our specialized talent solutions professionals at the center of clients' hiring experience along with digital tools that provide greater client convenience, flexibility and transparency throughout the hiring process. We also continue to leverage our proprietary data assets to enhance the AI tools, our recruiters use to discover, assess and select talent for our clients, and the AI tools our are recruiters use to effectively target leads for additional revenue.
 Protiviti continues to have a strong pipeline and a diverse offering of solutions which compete very effectively in the marketplace. Protiviti's first quarter results were also impacted by client budget measures and seasonally higher costs. We're encouraged that for the second quarter, Protiviti expects to report sequential segment income growth for the first time in 6 quarters based on broad-based strength in each of its solution areas, all of which are expected to grow sequentially.  Coupled with close control over its resource costs and staff utilization rates, this anticipated growth drives approximately 200 basis points in sequential improvement in Protiviti projected gross margin and segment margin.
 We've weathered many economic cycles in the past, each time emerging to [ achieve ] higher peaks. While macroeconomic conditions have constrained client resource levels in the short term, this also results in pent-up demand for talent and projects as business conditions improve.
 Also, aging workforce demographics and clients' desire for flexible resources and variable costs are structural tailwinds that are expected to benefit us for many years to come. With our current portfolio of Talent and Protiviti solutions, we're even more confident about our future. We are held steadfast by our time-tested corporate purpose to connect people to meaningful and exciting work and provide clients with the talent and consulting expertise they need to confidently compete and grow.
 Finally, we'd like to extend our gratitude to our employees across the globe, whose efforts made possible a number of recent prestigious accolades. Robert Half was among an elite few companies and the only one in our industry to be honored as a Fortune most admired company for 27 consecutive years. We were also recognized as one of Fortune's 100 companies -- 100 best companies to work for, Forbes America's best large employers. And just this week, one of Forbes Best Employers for Diversity. All are a testament to our people first culture which is a cornerstone to our success. 
 Now Mike and I'd be happy to answer your questions, please ask just 1 question and a single follow-up as needed. If there's time, we'll come back to you for additional questions. 
Operator: [Operator Instructions] Your first question comes from the line of Andrew Steinerman with JPMorgan. 
Andrew Steinerman: Hi Keith. I was intrigued by your point about third quarter sequential averages. And my question has to do with, once we get out of this kind of funk where temporary help is down for so long, but we're not in a recession. When you look at your contract staffing business, what do you think the shape of the recovery will look like? Like do you feel like after we have this point of stability, we're going to kind of go back to typical sequential averages? Or do you feel like there'll be more of a spring-loaded rebound? 
M. Waddell: Well, I would argue the latter, the spring-loaded rebound. And I base that in part on if you look at the number of job openings, which in the U.S. are just under $9 million. While I understand that's less than their peak or it was in the 12-ish range if you compare to prior staffing industry downturns, that $8.9 million is significantly higher than it was at those times and we view those openings as pent-up demand for future hires, be it contract or perm placement. So we think the level of pent-up demand for hiring as further evidenced by the labor short market we're in, we think that bodes very well. And we think we will come spring loaded when we get through this funk, your word that we've been experiencing for the last 6, 7 quarters. 
Operator: Your next question comes from the line of Mark Marcon with Baird. 
Mark Marcon: Keith, you talked about the broad-based strength in Protiviti. A number of other companies in the consulting space aren't seeing that sort of a bit of a rebound. I'm wondering if you can talk a little bit about what you think some of the underlying factors are for you to see some broad-based stabilization and the high confidence that you have that we should see a sequential improvement? Is it improved marketing on your end? Is it the value proposition? Are there any things that you're doing differently that's enabling you to continue to gain share? 
M. Waddell: Well, I'd say, first of all, by solution, the regulatory risk and compliance continues to be strong and leads the way. We had a very nice business process improvement quarter where we had joint wins with Protiviti and with Talent Solutions, that contributed [indiscernible] and tech consulting continued to be impacted by client budget pressures pretty much like before. But if we look at the pipeline, we've gotten very good pipeline statistics this quarter as compared to last, that gives us some confidence. We typically see a seasonal lift in the second quarter for Protiviti. And while not quite what the average seasonal second quarter lift, we're certainly back getting close to that.
 And with a little luck year-on-year, Protiviti will get back to flat. And so based on the momentum they've got coming from first quarter based on the pipeline and the internals of that pipeline, which are very strong, they feel good about sequential growth in the second quarter, much of which falls to the bottom line. We talked about 200 basis point improvements in gross margin and segment margin all because a disproportionate amount of that incremental revenue falls to the bottom line, which is a wonderful thing. 
Mark Marcon: That is -- and then assuming that those trends continue, how would you think about the profitability margins as we start getting out towards the second half, if we get back to kind of normal seasonal patterns. 
M. Waddell: Well, typically, you would see another nice lift in margins in the third quarter. On the internal audit side, that's the big quarter for Sarbanes-Oxley compliance work. So seasonally, you get some lift from that. If you add to that any cyclical improvement, as you alluded. And so seasonally, the pattern over the course of the year is you have a step down in the first quarter because of external audit crowd out of internal audit on the revenue side, you've got the new cost structure from raises and promotions for your staff and then you recover that over the course of the next 3 quarters.
 So last year, fourth quarter, I think we ended up at 11.4%, nice double digits in Protiviti, notwithstanding the environment we're in. So -- but we feel good with Protiviti's control of their resource cost, which includes using their variable cost tranche, which are contractors from talent solutions that their gross margins will recover nicely as they have in the past. 
Operator: Your next question comes from the line of Manav Patnaik with Barclays. 
Princy Thomas: This is Princy Thomas on for Manav. I wanted to just see if you could give us additional color on what you're seeing around staff attrition and utilization. 
M. Waddell: And are we talking about Protiviti, are we talking about Protiviti, Robert Half enterprise? What's the context? 
Princy Thomas: [indiscernible] able to go into both. 
M. Waddell: And as far as staff attrition at Robert Half, I'd say consistent with virtually every company across the globe, our attrition is down both in our corporate services area as well as out in our branches. And so I think it's just a -- as we've talked about before and because of caution inclusive of our internal staff as well as those we place on assignment, there's just less attrition. 
 As to utilization, particularly on Protiviti, which is where we measure it, part of that margin improvement, a large part of that margin improvement is due to an increase in utilization which includes controlling their costs by using contractors. So the utilization story is a good one and is a big piece of the margin improvement story. But if you look year-over-year, if you look sequentially, Protiviti has done a nice job of managing their utilization levels. 
Operator: Your next question comes from the line of Trevor Romeo with William Blair. 
Trevor Romeo: Had one on pricing and bill rates. It sounded like you saw about 3% bill rate growth in the quarter. I think that continued to moderate a bit relative to the past few. I was just kind of wondering if you could talk about your expectations for both fill rate growth and bill pay spreads over the next few quarters and whether you see any variation across your mix of specialties within contract talent? 
M. Waddell: Just like we've seen moderation in bill rate growth for several quarters in a row, we would expect that moderation to continue. However, we see very little impact to our spreads just as we've seen very little impact to our spreads over the last few quarters. If you look at our Talent Solutions gross margins on the contract side, the change has been primarily on conversions contract to hire. Those are down 40 to 50 basis points year-on-year. They're down another 10 sequentially. So those are driving the change in gross margins much more so than the moderating bill rate increases, which are essentially pass-throughs of pay rate increases, which we also expect to continue to moderate. 
Trevor Romeo: And then for a follow-up, maybe a bit of a bigger picture question. I wanted to ask about the rule earlier this week from the FTC related to potentially banning noncompete agreements. I think they estimate it would affect almost 20% of the whole U.S. labor market. Just given your view on kind of the professional labor market, I was curious if you would expect any impact from fewer noncompetes, maybe such as higher labor market churn and whether there could be any potential flow-through to Robert Half or similar companies that could potentially fill gaps with contract talent. 
M. Waddell: Well, as you know, several states already don't enforce, don't allow enforceability of noncompetes, the biggest one being California. So we've seen that movie to that extent. I think logic would say they'd be more churn if there are no noncompetes, how significant that would be in our area. I'm not sure it'd be that significant. Certainly, in the news, you talk about hair dressers and people with very different skills than those we place. But I'd say net-net, probably results in more churn. However, remember now there are trade secret agreements that are enforceable.
 There are intellectual property pieces to those agreements that are enforceable. So it doesn't just become the wild west when the noncompete goes away because there's still a trade secret, there's still an intellectual property that would still impact one's ability and willingness to make a move. 
Operator: Next question comes from the line of Tobey Sommer with Truist Securities. 
Jasper Bibb: This is Jasper Bibb on for Tobey.  Wanted to ask that you're thinking about managing recruiter capacity for an eventual rebound at the stage of the cycle and what that might infer G&A costs look about for the year? 
M. Waddell: And so for a few quarters now, we have pretty much held the line on our recruiter levels, notwithstanding some sequential reductions in our revenues. And we've done that so that we have the capacity participate in the spring load we talked about earlier, we feel good about our resource levels as we sit here today, we certainly have a few quarters of growth that we could benefit from without having to add significantly to headcount. So I think we've been pretty clear for 2 or 3 quarters minimum that we've been holding our resource levels pretty stable, pretty steady, notwithstanding a sequentially declining revenue pattern. 
Jasper Bibb: On the Tech staffing segment, some of your public peers have said pay demand seems to be stabilizing at this point. Others still seeing revenue fall sequentially in the second quarter? I guess just kind of curious what your experience has been there and what the outlook might look like for the second quarter. 
M. Waddell: I would say that our tech staffing outlook for Q2 isn't that different than our overall outlook for the second quarter, which is for a small single-digit sequential decline in top line, but pretty much a continuation of this stabilization theme that we've seen since mid last year. So I'd say in line with our other segments, starting with accounting and finance. 
Operator: Your next question comes from the line of Heather Balsky with Bank of America. 
Heather Balsky: I was curious about your pipeline for Protiviti. You talked about a strong pipeline. When you look at potential projects there. And then you look at sort of within that business where you're seeing strength and weaknesses, is there a correlation there? And are there areas within Protiviti, if you -- that you think should rebound faster. I guess when you think about that business and how sales could come back or accelerate, how do you see that evolving into a recovery? 
M. Waddell: Well, our regulatory risk and compliance has been the strongest. It's expected to continue to be the strongest. It has a very nice pipeline. The area most impacted by client cautiousness and focus on cost has been first internal audit and then next technology consulting. And so a reversal of those conditions would benefit a turnout and tech consulting the most. But as we said, every single Protiviti solution is expecting sequential revenue growth in the second quarter. And that's very different than what we've seen for several quarters. So we see that as a very good trend. And the pipeline is reasonably strong across all those solutions, and it's very strong in areas like regulatory compliance. 
Heather Balsky: Got it. And are you seeing -- is the pipeline -- you've talked about the pipeline being strong for a while. Are you seeing it continue to build quarter-over-quarter as you wait for the recovery? 
M. Waddell: And Protiviti has all types of statistics, they probability weighted. They slice and dice in many ways. But if you look at all those internals that I'm not about to start disclosing publicly, I think you'd be very encouraged about how those subcomponents of their pipeline stack up relative to not only a year ago, but to a quarter ago as well. That's not to say that conditions aren't choppy, which tends to be their favorite word.
 Clearly, it's competitive. Clearly, an internal audit. You've got big 4 firms with additional capacity in certain markets, they're very price competitive. All of that's there. It's been there for several quarters. We built that into our guidance. But that said, the pipeline and its components are quite strong, which makes us quite optimistic. 
Operator: Next question comes from the line of Stephanie Moore with Jefferies. 
Stephanie Benjamin Moore: So I think, Keith, you called out what we've been continuing to see that clients are simply very budget sensitive and very selective in their hiring activities, but based on your conversations with clients, what do they need to see to be a bit more aggressive with hiring? What are the factors that you hear the most from them? 
M. Waddell: I think it comes down to confidence. If you look at NFIB, it will tell you that small businesses say their #1 business problem is inflation. And clearly, there was more progress on inflation kind of going into the new year. It seems to have been stickier. There's this thought of hire for longer, all of which impact confidence. And so I think what's needed is we need more client confidence. And therefore, all of that pent-up demand for hiring, they have more urgency to get done. 
Stephanie Benjamin Moore: And then maybe just one clarification question. Just kind of looking at the geographic performance in the quarter. Looks like U.S. actually was down a little bit more materially than the non-U.S. Anything to call out there? 
M. Waddell: So in Talent Solutions, that's been the case for several quarters. I'd say, generally speaking, that's led by Germany. And I would say that in turn is largely attributable to Germany probably has had the most success of Talent Solutions and Protiviti going to market together. And in combination, it's had a meaningful impact on the results from Germany and therefore, a meaningful impact on the relative performance of non-U.S. and U.S. And I would also add, for the last, I don't know, 5, 6 quarters, Brazil has been coming on nicely. It's now in our top 6 countries by dollars, converted dollars as you look at our international zone countries, if you do it on an hours basis, it ranks even higher than that. 
 And so I'm happy to first start talking about Brazil. Because Brazil is starting to do quite well. It's been doing quite well. 
Operator: Your next question comes from the line of Jeff Silber with BMO Capital Markets. 
Jeffrey Silber: Keith, you mentioned the word price competition when you were talking about productivity. I was wondering if you can give us some color about price competition in your Talent Solutions businesses have meaningfully changed or not? 
M. Waddell: I would say it has not meaningfully changed. Clearly, pay rates aren't rising as quickly as they had been just in the market. Bill rates that pass those through aren't rising as fast as they were. We've always been premium priced relative to the competition, but over time, we've shown that value-add to our client, and we've been able to sustain that. And that spread, we've continued to sustain throughout these last 7 quarters, notwithstanding that premium pricing position. And so that hasn't changed much, and our margins are pretty much intact relative to where they typically are.
 As I said earlier, the big swing is more about attempt to hire to contract to higher conversions, which is a function of the full-time hiring market. Our gross margins, that certainly reflect the competitive marketplace. Our gross margins have held in remarkably well. 
Jeffrey Silber: I appreciate that color. If I could just sneak in one numbers question. You typically give us operating cash flow in your prepared remarks. I don't think you did so this quarter. Is it possible to get that number? 
M. Waddell: Let's see -- we will see if anybody in the room has a number? 
Jeffrey Silber: I can follow up offline. 
M. Waddell: Operating cash flow was -- I think it's a use of $16 million and the reason it's a use is the first quarter is the quarter where we pay annual bonuses in addition to the normal quarterly bonuses. And it's also the quarter we pay all our technology SaaS subscriptions for the coming year. So if you look back over time, there's the most differential between earnings and cash flow in the first quarter of any of the quarters. 
Operator: Your next question comes from the line of George Tong with Goldman Sachs. 
Keen Fai Tong: Labor porting has been causing [indiscernible] staffing to underperform overall nonfarm payrolls. When would you expect that phenomenon to lap? And if it does, to what extent would it be accompanied by lower client demand for staffing in general? 
M. Waddell: Well labor hoarding has multiple causes, one of which is there's concern that it'd be difficult to replace fine suitable replacements for any involuntary attrition from the standpoint of the candidate. I see labor hoarding. I see candidate confidence to make a move, which is also impacted by what's the compensation outlook if they make a move during the height of post COVID, you could switch jobs and get a large compensation increase. That's not the case anymore. So it's not just a matter of [indiscernible] and the caution. It's also a matter of, you don't get the premium to move that you want instead.
 So there's no question that this whole churn that hoarding is a piece of churn. There's no doubt is a function of the macro and there has to be macro improvement. There has to be confidence improvement for that churn to change, but churn is way down. And clearly, that's impacting our revenues. And for me, it's probably the answer to one of the most asked questions we get is, why is it when the labor markets otherwise look pretty strong, is the entire staffing industry down for the last 7 quarters. And I think the biggest reconciliation item there is, post COVID, there was hyper churn. There's been some normalization of that hyper churn, and you've now got below-trend churn, all of which impacts staffing industry revenues.
 But you need confidence, you need client confidence that hasn't been there for several quarters. You look at NFIB, their optimism index, I think it's flat line to slightly down, and that measures directly at least small business confidence or optimism. But it's down, what, 2 years below its multi-decade average. It's all about confidence, which gets to urgency of hiring. We need more confidence. 
Keen Fai Tong: That's helpful perspective. And then your operating margin guidance for 2Q points to quite a bit of margin contraction on a year-over-year basis. To what extent does the margin contraction simply reflect deleveraging from top line declines and how much control over the margin profile in 2Q do you have? 
M. Waddell: Well, I'd say, first of all, we've got sequential margin accretion and let's keep that in mind. Year-on-year, you've got deleveraging from your additional SG&A costs tied to administrative compensation, both corporate services, the fixed component of compensation out in the branches as well as in Protiviti. So year-on-year, there's contraction sequentially, we're actually accreting and it's nice to see that accreting and in fact, as we said in our prepared remarks, it's the first time in 7 quarters where we're talking about a sequential increase in operating margins.
 But year-on-year, as you point out, it's still down and it's because of deleveraging of those fixed costs. in part because we're retaining capacity for participation in a broader improvement in the macro and the confidence levels that we just talked about that we've seen, by the way, in every single cycle since we've been around, which is a long time. 
Operator: Your next question comes from the line of Kartik Mehta with Northcoast Research. 
Kartik Mehta: Keith, you talked a little bit about price competition in Protiviti, especially in some areas. Is that at all resulted in you having to walk away from any business because the margin profile wasn't what you wanted. 
M. Waddell: Well, there are examples where our competitors for their own business reasons, had crazy -- I mean, crazy pricing. And so did we walk away? No. Did we think we priced it aggressively to win the business? Yes. Which we didn't when the competition crazy priced it. So I wouldn't say we walked away. We rarely declined to even propose but some firms, some markets, given their capacity levels get super aggressive in their pricing. That's not new. That's built into our margins this past quarter, the quarter before that. It's not new. We expect that to continue for a few quarters longer, but that's all built into our guidance. 
Kartik Mehta: And just as a follow-up, Keith, you've talked about AI and obviously, AI benefiting the Robert Half. And I'm wondering today where AI sits, is it more of an expense or more of a benefit? And I don't know if it just needed time for it to become a benefit. 
M. Waddell: Well, so we continue to invest in AI. We're currently incorporating large language models into our matching algorithms. We're using our proprietary data to customize these large language models. The good news is there's these this whole group of parameter efficient fine-tuning models that let you customize at a relatively low cost and use your own data, we certainly benefit.
 We believe we can add more value for our clients, most of which are small businesses and for candidates with our AI algorithms and it further differentiates us from our competitors, most of which are small that don't have our data. They don't have our technology. And so I could go down the P&L and talk about we know we have additional revenue because of our AI. We've been about AI, particularly for matching for 7 to 10 years, they were large language models, but they were medium language models in today's world.
 So we've got a head start. We've got a leg up. We've been doing this for a while. I think that means it's -- we more quickly participate in the upside of large language models, which at the end of the day, expand the context window for understanding the meanings of words, which are important when you're matching candidate titles, skills and work history.
 So personally, there's no question, just based on the revenue we can measure for candidates, we source in place using our AI greatly exceeds the cost of that. And our the high cost of these large language models is more for these hyperscalers that are doing the foundation models themselves. I mean, we're taking the open source version of those, we're customizing those for our use. And as I said earlier, there are wonderful advancements being made on customizing those large language models for your individual use cases that use your own data. So that's a real long-winded way of saying, I think the benefits outweigh the cost.
 Okay. So that was our last question. We appreciate everyone participating today. Thank you very much. 
Operator: This concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half's website at roberthalf.com. You can also log in to the conference call replay. Details are contained in the company's press release issued earlier today.